Operator: Good morning. Welcome to the ACETO Fiscal 2014 Third Quarter Financial Results. My name is Brandon, and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn it over to Jody Burfening. Jody, you may begin.
Jody Burfening: Thanks, Brandon. Good morning, everyone, and welcome to ACETO Corporation's third quarter fiscal 2014 conference call and audio webcast. This is Jody Burfening of LHA. With me today are Sal Guccione, President and CEO; and Doug Roth, Chief Financial Officer. The company issued its third quarter earnings press release yesterday after the market closed and for those of you who have not yet seen the release, a copy is available in the Investor Relations section of the company's website at www.aceto.com. Before starting the call, I'd like to remind you that today's call will contain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 that can be identified by words such as believe, expect, anticipate, plans, projects, seeks and similar expressions and involve numerous risks and uncertainties. The company's actual results could differ materially from those anticipated or implied in these forward-looking statements, as a result of certain factors as set forth in the company's filings with the Securities and Exchange Commission. With those housekeeping items out of the way, I would now like to turn the call over to Sal. Good morning, Sal.
Salvatore Guccione: Good morning, Jody, and thank you. Good morning, everyone. Thanks for joining us here today on ACETO's third quarter earnings call. Well, it's been a very exciting start for us for the month of May here, in particular with the closing last week of our acquisition of PACK Pharmaceuticals. This strategically important transaction builds upon our rising finished dosage form generic pharmaceutical business, as you know. It strengthens our presence within the generic pharma industry and advances the strategic transformation of the company towards pharmaceuticals while expanding our opportunities for growth. Consistent with our business model, the acquisition of PACK also further leverages our core competencies in sourcing, regulatory support and quality assurance. I like to invite you to listen to the webcast of last week's call and view our updated investor presentation for more information on the combination of PACK with Rising. You can find both the webcast and investor presentation in the Investor Relations section of our website. That said, let's move on to the third quarter results. Our third quarter earnings were lower than those achieved last year. That's primarily due to quarterly timing differences. Net income was $5.4 million for the quarter versus $7.6 million last year and earnings per share were $0.19 versus $0.28. For those of you who have been following ACETO for quite some time, you might recall that last year's third quarter included strong sales and profits of the higher margin at the Pharmaceutical Ingredients, which was associated with one of our customer's product launches. This year's third quarter, as previously discussed and anticipated, did not see this business repeat because we saw it come earlier this fiscal year, so a timing difference between last year's third quarter and this year that business came earlier in the year, hence causing the imbalance in this year's third quarter. Looking at each of our segments. Human Health reported sales of $33.9 million in the quarter which is 6.5% below the $36.3 million achieved in last year's third quarter. We have seen some new competition on certain generic products that we successfully launched last year as first-to-market products. While this is something we prefer to do without, it's actually quite normal for the industry, in particular for first-to-market opportunities. It's actually one launches and captures the first generic market share and later new competition emerges in our roads into the share and price. That said, we do expect the Human Health segment will return to year-over-year quarterly growth during the fourth quarter of this fiscal year. Looking at the broader picture, as I noted last week, with the addition of PACK we have not only increased our commercial type products by 50% but we've also basically doubled our new product development pipeline. We now have 97 product candidates in our pipeline with a total brand market sales opportunity of just under $6 billion. That includes a total of 39 applications that are currently filed with the FDA. We anticipate launching two drugs in the fourth quarter of this fiscal year and another 12 projected for launch in fiscal 2015. I'd note, however, that projected approvals from the FDA have been slower throughout the industry and it's possible that these launch states could slip. We remain committed to further expanding our pipeline of new drugs and as planned, we increased our R&D spending this quarter to support this growth. This quarter we spent $1.5 million and that compares to $900,000 last year. Looking for the full fiscal year of 2014, we expect to spend between $4 million and $4.5 million in R&D, that excludes PACK by the way, and that's up significantly from the 2.8 million we spent last year. So again, trying to invest in the business today for payouts down the line. In the Pharmaceutical Ingredients segment, sales were $47.8 million in this quarter. That's a decrease of 22.5% versus the third quarter of last year. As discussed, this segment had a tough comparison against last year's third quarter when we shift the initial order of the higher margin API. This segment also shows slower sales of certain pharmaceutical intermediates and that we think is due primarily to order pattern. As a result of these factors, gross profit was down almost 45% in the quarter and gross margin decreased to 15.5% from last year's 21.7%. Regarding the Performance Chemicals segment, its sales were $43 million in the quarter or approximately 18.5% lower than last year's third quarter sales. This sales decline reflects lower sales in agricultural protection products, primarily in low margin herbicide and a low margin insecticide had lower sales this year. In addition, sales were also impacted by a decrease in certain chemicals used in surface coatings. We've had significant reduction in these lower margin products this year which has resulted in reduced sales levels but actually improved profitability. Also the French distributor of ingredients to the cosmetic and personnel care industries that we acquired early this year was a positive contributor to the quarter. So overall in this quarter, our gross margins in the Performance Chemicals segment were up 400 basis points versus last year to a level of 17.4% and that ultimately resulted in a 5.5% increase in gross profit for the segment this quarter. I'd also just remind those you may have seen it earlier, we announced a senior level management transition in our Performance Chemicals segment this quarter. We brought in a proven chemical industry executive, [Paul Krauthauser] (ph), to lead the group. Paul has previously led operations of several chemical businesses both in Europe and overseas. He has extensive international sales, marketing and management experience and therefore in my opinion is a great fit to head this business. He's hit the ground running and I'm optimistic about what he can do for us in the future. Finally, before turning the call over to Doug, I would like to note as we have in the past that our quarterly results may fluctuate depending on timing of orders and product launches. This quarter is obviously no exception. However, if you look at our performance on a year-to-date basis, you will see that our gross profit has increased this year by 16.2% to a level of $85.7 million, that being driven by favorable mix towards our higher margin products. In each of the segments, Human Health gross profits are up 22% on a year-to-date basis. Pharmaceutical Ingredients are up almost 20% on a year-to-date basis and Performance Chemicals were up 3.5%. Total company gross margin is at 23% for the nine months and that compares to 19.6% for the same period last year. So I'm very pleased with the year-to-day underlying trends of the business. In closing, our year-to-date performance and the acquisition of PACK Pharmaceuticals illustrate our continued commitment to Human Health and the execution of a long-term growth strategy. The acquisition of Rising at the end of 2010 helped changed ACETO from a solely evaluated distributor to also being a supplier of finished form generic drugs, capturing more margins in the pharmaceutical supply chain and expanding our opportunities for growth. Now with the acquisition of PACK, we've expanded our footprint in the pharmaceutical industry and strengthened our presence in the higher margin end of the pharma supply chain. We remain confident in our long-term growth prospects. With that, I'll turn the call over to Doug.
Douglas Roth: Thank you, Sal, and good morning, everyone. Net sales for the third quarter were 124.8 million, a decrease of 17.3% from the 150.9 million reported in the third quarter of fiscal 2013. On a reporting segment basis, Human Health segment sales were 33.9 million, a decrease of 6.5% from the third quarter of fiscal 2013. Pharmaceutical Ingredients segment sales were 47.8 million, a decrease of 22.6%. And Performance Chemicals sales declined by 18.6% to 43 million. Gross profit was 25 million for the quarter, a decrease of almost 21% compared to 31.5 million in the third quarter of last year. Gross margin was 20% compared to 20.9% for the year ago. Gross profit in the Human Health segment was 10.1 million, a decrease of 8.8%. In the Pharmaceutical Ingredients segment, gross profit was 7.4 million, a decrease of 44.6% reflecting the initial sales in last year's third quarter of a new high margin API which, as expected, had no sales in the current period. In our Performance Chemicals segment, although sales had declined, our gross profit increased to 7.5 million or 5.4% due to the improved product mix brought about by pruning of some of our higher volume, lower margin products. This resulted in a gross margin of 17.4%, a 400 basis point expansion versus the 13.4% in last year's quarter. Our SG&A expenses for the quarter were 16.4 million or 13.1% of sales, approximately 60 basis points higher than the third quarter of fiscal 2013. The third quarter of 2014 included approximately 1 million or $0.02 of transaction costs related to the recent PACK acquisition. The fiscal third quarter included a 2.8 million or 6% per share of earn-out accrual related to the Rising acquisition. As we've said, we continue to increase our investment in research and development. Our R&D expense totaled 1.5 million this quarter compared to 900,000 in the prior year. With this sales decline flowing through the income statement, our operating income declined 39% to 7.1 million compared to 11.7 million in the third quarter last year. Net income was 5.4 million or $0.19 per share compared to net income of 7.6 million or $0.28 per share for the comparable quarter of last year. EBITDA for the third months was 10.1 million, a 26.6% decrease from the third quarter of last year. Now, looking at the results for the nine months ended March 31, 2014 compared to the same period last year. Our net sales were 370.6 million, a 1.6% decrease from the 376.6 million reported for the comparable year 2013. Our year-to-date sales benefited from reorders of the high margin API in the first half of this fiscal year and this is the same API that will receive the initial order in the third quarter of last year. Gross profit was 85.7 million, an increase of 16.2% compared to the gross profit of 73.7 million in the prior year period. Research and development expenses again totaled 3.2 million compared to 2 million last year. Operating income totaled 35.2 million compared to 26 million in the same period last year, a 35% year-over-year increase. For the nine-month period, ACETO is reporting net income of 23.4 million or $0.82 per diluted share compared to 16.9 million or $0.62 per diluted share in the prior nine-month period. That's an increase of 38.5% and 32.3%, respectively. During the third quarter, we reduced our bank borrowing by an additional 2 million leaving us with bank debt of 22.9 million as of March 31. Cash and cash equivalents and short-term investments totaled 36.1 million and our working capital was 148 million and shareholder equity of 223.4 million. Subsequent to the quarter close, we closed on a $130 million facility to finance the acquisition of PACK. Financially, ACETO remains strong with a balance sheet and cash flow to support our future growth plans. Now, I'd like to open the call up for questions. Operator, please assist.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). From Sidoti & Company we have Daniel Rizzo online. Please go ahead.
Daniel Rizzo - Sidoti & Co. LLC: Good morning, guys.
Salvatore Guccione: Good morning, Dan. How are you?
Daniel Rizzo - Sidoti & Co. LLC: Good. How are you? You indicated that the timing issues were part of the problem in the quarter. Was there like a particular segment where that was like the case one more than the others?
Salvatore Guccione: Sure. Primarily we're talking about the higher margin API. Last year's third quarter we saw the launch quantities and this year it occurred earlier in the year and not in the third quarter making the quarter comparison difficult. That would be in the Pharmaceutical Ingredients business segment.
Daniel Rizzo - Sidoti & Co. LLC: So I think there were two large orders last year, one in the third quarter and I think one in the first quarter, as you said. So does that mean that we could see in like all of that size potentially next in, in fiscal 2015?
Salvatore Guccione: So, we do expect this business to continue. At this point we do not have any information as to when or frankly the size, but we do expect the business to resume at some point in time.
Daniel Rizzo - Sidoti & Co. LLC: Okay, all right. Thank you, guys.
Douglas Roth: Dan, just one thing for clarity. We, as I mentioned in my prepared remarks, that our initial order for this came in the third quarter of last year, okay. But then in the first six months of this year, so the first two quarters of this fiscal year, we also enjoyed some reorders. At that time we didn't expect – I think we spoke to that point. We didn't expect to receive any more orders for the balance of this fiscal year.
Salvatore Guccione: By the way that's still the case and as I said, we do expect the business to continue. We just don't have any clarity at this point as to when it will.
Daniel Rizzo - Sidoti & Co. LLC: Okay. All right, thank you guys.
Operator: From Morgan Stanley we have Steve Howard online. Please go ahead.
Steven Howard - Morgan Stanley: Thank you. Good morning, everyone.
Salvatore Guccione: Good morning.
Steven Howard - Morgan Stanley: Trying to address the R&D pipeline a little bit, I know you guys are a little bit more directional than specific, but when you look at the 2 out of the fourth quarter of 12 for next fiscal '15, how many of those are you guys first to file or first to market on?
Douglas Roth: Thank you. For this year, neither will be. For next year, at this moment – and again, this is our assumptions, things can change, but 2 out of the 12 we would at this point think we have a potential to be first to market.
Steven Howard - Morgan Stanley: Okay. And then when we are looking at the market, is there any way to, again without getting too specific, kind of address when you have the larger generics looking at their pipeline you can kind of see what's out there because of blockbuster drugs coming off patent. Is there like a way to average market opportunity out of the 12 that sort of thing to at least provide a little bit more detail on kind of the opportunity set for these 12 names? What is it, a 20 million?
Salvatore Guccione: Actually, so I'm not sure if I got your question fully, but I would say is and if you get a chance just jump on our website. We have our presentation there with a page that breaks down the opportunities a bit. But for 2015 we're looking at, as I said, 12 products of which 2 or potential first 2 to market. The total market size right now of those 12 products is a little over $400 million. Now obviously as generics jump in, price comes down and then you grab whatever share of that market that you can. So, just to be clear, that 400 million is the current sales. It becomes much less in the generic world.
Steven Howard - Morgan Stanley: Okay, that's helpful. And then just final two, if I can, related would be how happy have you been with the recent launches in terms of your share and your ability to get distribution relative to expectations pre-launch?
Salvatore Guccione: Very happy. We've been very pleased with the success we're having both in terms of share and price with our launches. We obviously had more launches last year than this year and things have been a little bit slower in the FDA kind of approval cycle. But as we do launch, we're very pleased with the success we're seeing.
Steven Howard - Morgan Stanley: Great. And then the last one would be the [conference] (ph) as you ramp up R&D spend that you'll have adequate returns on those investments relative to kind of what you have been experiencing?
Douglas Roth: We're very optimistic about it. We've got a strong pipeline and now we just got to execute on the complete and redevelopment getting through the FDA and the launching. But we feel good about the pipeline.
Steven Howard - Morgan Stanley: Thank you very much. Good luck.
Salvatore Guccione: Thank you.
Douglas Roth: Thank you.
Operator: From Southpaw Investments we have Steve Bush online. Please go ahead.
Steve Bush - Southpaw Investments: Good morning, gentlemen.
Salvatore Guccione: Good morning.
Douglas Roth: Good morning.
Steve Bush - Southpaw Investments: Can you just kind of walk me through the PACK acquisition? Like what's the revenues and where do they expect the revenues to be under ACETO?
Douglas Roth: Steve, we spoke to that last week on our conference call but just a recap. We have mentioned that in the calendar year ending 2013. They had sales of $46 million and based on our current projections, we expect that number to grow between 55 million and 60 million in our fiscal 2015 year.
Steve Bush - Southpaw Investments: All right. And are they going to be accretive to our earnings at some point?
Douglas Roth: Yes. Again, we mentioned that right – we expect them to be modestly or slightly accretive in fiscal 2015 on a GAAP basis and we expect to see that accretion start – trends start once our transitioning and migrating to our platform and all that back office stuff is completed, we expect to see that in the second fiscal quarter.
Steve Bush - Southpaw Investments: Okay. Good job guys.
Salvatore Guccione: Thank you.
Douglas Roth: Thank you.
Operator: (Operator Instructions). We have [Lester Petruzzi] (ph) online. Please go ahead.
Unidentified Analyst: Yes. Good morning.
Salvatore Guccione: Good morning.
Unidentified Analyst: I thought I'll ask you a difficult question, looking forward to the full 12 months of 2015 when you would have the PACK acquisition fully consolidated and I tore off the corner of an envelope and I said to myself with the calculation, I could see that consolidated result generating north of 75 million in EBITDA. Would you say I'm in the zip code or in the neighborhood?
Salvatore Guccione: Les, a couple of things. One, I'm not sure of the 75 million that you're talking about if you're talking about PACK by itself or ACETO?
Unidentified Analyst: I said consolidated, full 12 months consolidated Rising, PACK, legacy ACETO, could you envision or would you hope to get to 75 million in EBITDA?
Salvatore Guccione: Listen, what I'd say, Les, and I appreciate your question. As you know we don't give forward-looking guidance on an annual basis. You kind of know where ACETO is going this year. I think we've given you a sense for the PACK EBITDA and I think we're optimistic about both as we look to the future, but I'm not going to get into specific numbers with respect to next year.
Unidentified Analyst: Okay. Can you give us the – I think I missed it when Doug was speaking. What is the full nine-month EBITDA this year?
Douglas Roth: I can give you right off the top here that the trailing 12-month EBITDA is 53.4 million and so if I back out – if you're looking for just nine months, it would be then about 43 million.
Unidentified Analyst: And if you would indulge me, one last question. Can you talk about the accretion in terms of GAAP (indiscernible)? It's kind of low today on the streets. Talk about GAAP as well as non-GAAP accretion, have you done any analysis there to see – certainly it's much more dramatically accretive on a non-GAAP basis. Can you share with us any calculations in the year and next year non-GAAP accretion?
Douglas Roth: We are looking at – that is a topic of conversation that we're looking at that we may give both GAAP and non-GAAP starting next year and non-GAAP taking away, for instance – the amortization, for instance, of the intangible assets. But no, I can't speak to that right now.
Unidentified Analyst: As a long-term shareholder, you know I've been in the stock for over a dozen years. I would just point to the public announcements by almost every pharmaceutical and specialty chemical company what comes to mind is just (indiscernible) recently yesterday, the headline statistics we give on our own non-GAAP and then it's almost footnoted to the GAAP, so you're almost doing kind of the opposite of the trend. So, I'm glad to hear you're considering it. Maybe it will bear some fruit. Thanks, again. Good luck in the future.
Salvatore Guccione: Les, thank you. Always great questions and your questions are not lost on us. It's certainly something we're looking at. Thank you.
Unidentified Analyst: Swell.
Operator: We have no further questions at this time and we will now turn it back to Sal for closing remarks.
Salvatore Guccione: Okay. Well, thank you, everyone, for joining us today. We're pleased with the results so far this year and we feel well positioned for the long-term growth in this company and look forward to speaking with you in September. Thank you.
Operator: This concludes today's conference. Thank you for joining. You may now disconnect.